Operator: Good morning and welcome to the CEVA Incorporated Fourth Quarter and Year-end 2011 Earnings Conference call. All participants will be in a listen-only mode. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Richard Kingston. Please go ahead.
Richard Kingston: Thank you very much. Thank you and good morning everyone, welcome to CEVA’s fourth quarter and year-end 2011 earnings conference call. I’m joined today by Gideon Wertheizer, Chief Executive Officer of CEVA and Yaniv Arieli, Chief Financial Officer of CEVA. Gideon will cover the business aspects and the highlights on the quarter and will also review our progress during 2011. Yaniv will then cover the financial results for the fourth quarter and annual 2011 and will provide guidance for the first quarter and fiscal 2012. I’ll start with the forward-looking statements. Today’s conference call contains forward-looking statements that involve risks and uncertainties, as well as assumptions that if they materialize or prove incorrect, could cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions. Forward-looking statements include financial guidance for the first quarter and full year of 2012, macro environment for the global chip market in 2012, market data from GSMA, iSuppli, Strategy Analytics and certain data of our customers incorporated herein; optimism about our customers’ product pipelines and market penetration, optimism about the performance of our products and competitive advantage including the CEVA-XC and CEVA MM3000, market potential for image signal processing, optimism about our ability to penetrate emerging markets and new markets beyond the cellular baseband markets, optimism about our ability to leverage trends and connectivity, as well as the positive impact on our business of these various factors. The risks, uncertainties and assumptions include the ability of the DSP cores and other technologies to continue to be strong growth drivers for CEVA, a success in penetrating new markets and maintaining our market position in existing markets, the ability of our products incorporating our technologies to achieve market acceptance, the effect of intense industry competition and consolidation, and global chip market trends; the possibility that markets for our technologies may not develop as expected or that products incorporating our technologies do not achieve market acceptance, our ability to timely and successfully introduce new technologies, and general market conditions and other risks relating to our business including but not limited to those that are described from time to time in our SEC filings. CEVA assumes no obligation to update any forward-looking statements or information, which speak as of their representative dates. With that said, I would now like to turn the call over to Gideon Wertheizer.
Gideon Wertheizer: Thank you, Rich and welcome everyone. CEVA executed very well in the fourth quarter with record high revenues and royalties. Revenues for the fourth quarter was $16 million, an all-time high for the company and above the high-end of our guidance range. It represents a 22% increase compared to the fourth quarter of 2010 and 7% sequential increase. Net revenue for the fourth quarter of 2011 was $10.2 million, an all-time high which represent 36% increase over the fourth quarter of 2010 and 16% sequential increase. Other key financial metrics that further demonstrate our strong financial performance for the fourth quarter are non-GAAP operating margins 41% versus 33% for the same quarter of 2010 and a non-GAAP EPS $0.26, up 37% versus $0.19 for the fourth quarter of 2010. We have also generated approximately $9 million positive cash flow in the fourth quarter. Yaniv would elaborate more on the financial results shortly. During the fourth quarter, we concluded seven new license agreements. Four of the agreements were for our CEVA DSP cores, platforms, and software. Two for SATA/SAS technology, and one agreement was for Bluetooth. Geographically, two of the license agreements were in the U.S. and five were in Asia. Target application for the agreements concluded during the quarter are primarily TD-SCDMA baseband processor, smart TV for emerging markets, connectivity, and smartphones and solid state drives. At the beginning of 2011, we defined two main strategic goals that we believe would be key to our success in 2011 and beyond. The first was to drive strong shipment goals of our technologies in the cellular baseband market. The second was to extend our technology leadership in the DSP space. Clearly, we were able to meet both of these goals. Shipment of CEVA-powered baseband units grew 105% year-over-year to 927 million units. Our DSP are now deployed in every meaningful segment of the market, starting with the high volume, low cost GSM feature phone market, going through the 3G advanced smartphone market including the growing China mobile TD-SCDMA market and up to the cutting edge healthy smartphone market. The use of our DSP is also expanding in the mobile broadband segment, including 3G and 4G USB dongles, tablets, and in the machine-to-machine segment in particular smart grid, automotive and surveillance applications. On the technology front we made tremendous progress during the year in enriching our product portfolio with the aim to leverage on the growing demand for DSP based technologies in smart devices in 4G enabled products. Weintroduced the second generation of the CEVA-XC DSP. The CEVA-XC323 with the unique capability to support 2G, 3G and 4G baseband processing in software with a single DSP. Our CEVA MM3000 architecture addresses the growing use of advanced multimedia technologies for smartphone and smart TV market by seamlessly consolidating imaging and vision in a single DSP. Our CEVA TeakLite-III architecture offers the lowest power consumption for advanced audio and mobile devices. Although, we are at the early stages with these new products, we expect gradual adoption throughout 2012. Now, let me take a few moments and provide some perspective on growth opportunities and new [term catalysts] [ph]. First our total addressable market. The GSMA recently published a research that shows the total number of connected wireless devices is expected to increase from approximately 9 billion today to more than 24 billion in 2020. Just to put this in the CEVA perspective, in 2011 there were more than 927 million CEVA based DSPs shipped, so looking ahead there is still a huge untapped market for us to further grow into with our baseband technologies and customer base. Second, in our [few near] [ph] term catalyst and customer success stories. Nokia, the world’s number one handset maker, by volume, is now widely using our DSPs in 2G products. Leveraging on its traditional stronghold in innovative low cost product, Nokia has managed to effectively grow and gain market share in emerging markets.  The demand and volume particularly in the emerging markets economies for a low cost mobile phone is enormous. Other than China, India and Latin America, that we all discussed at length in the past, (inaudible) GSMA, Africa recently becomes the second largest cellular market globally, with 620 million subscribers doubling every year since 2007. GSMA phone [cards] [ph] the growth rates for Africa over the next four years will be higher than any other region.  Nokia is undergoing a major restructure of its baseband supply chain for its high volume 3G products, a key pillar in its Internet for the Next Billion strategy. CEVA is positioned to be a major beneficiary of this strategy replacing TI, the incumbent supplier. The recent Strategy Analytics report currently 92% of Nokia 3G shipments are still with TI and expected to gradually transition to Broadcom and Intel Mobile Communications both CEVA customers during 2012 and 2013.  Samsung, the world’s number two handset maker target sales of 374 million handsets for this year, up from 224 million in 2011. Samsung phone products are widely diverse with (inaudible) almost every category network operator (inaudible).  CEVA’s portfolio suits Samsung product strategy. Our DSP have been placed in every category of Samsung phones ranging from low cost to 75G feature phone, to India and China market and [are up to date any and] many of the most advanced Galaxy brand smartphone. This includes the recently introduced Google, Samsung Galaxy Nexus, HSPA+ AT&T and the LTE version at Verizon. As well as, the majority of the Galaxy S2 smartphone lines including the model designed for China Mobile unique 3G standard TD-SCDMA. Market research Strategy Analytics reveal that smartphone shipment in China eclipse the United States for the first time last quarter, making China the largest smartphone market in the world. This finding explains why phone manufacturers are increasingly turning their attention to the Asia-Pacific region. Apple is now offering the lower cost version of its popular iPhone 4 based on Intel Mobile Communications [single] [ph] power chip. Broadcom also leverage our DSP technologies in its integrated single chip application plus a baseband processor. Samsung has adopted these platform for its low cost Android powered Samsung Galaxy Y [-phone] [ph] series, in addition to its Bada powered Wave, Y and M product lines. Also [VT LTCL] [ph] has recently introduced new local smartphone based on our customer baseband processor for the local Chinese market.  China Mobile, the largest cellular operator in the world with more than 650 million subscribers suspended its 2.5G network expansion to give precedence to its own new 3G network, the TD-SCDMA. iSuppli expected the TD-SCDMA market to grow 75%, year-over-year, due to a merger of infrastructure and [Qwerty] [ph] base technology and the continued decline of chip costs. This trend plays well for Spreadtrum, a customer of ours, who communicated that it recently exceeded 50% market share with more than 30 customers and 72 handset models. Spreadtrum and MStar also, a customer of ours are growing in the high volume 2.5G and 2.75G markets in emerging economies such as India, Indonesia, and Brazil. Currently, MediaTek has taken 60% market, Spreadtrum has 25% and MStar has 10%. Spreadtrum came out recently with a new low cost Android based edge and Wi-Fi smartphone. This product is attractive and it is also Android user experience at the target price of $75 to $115 substantially, [low-end service fee] [ph] and broader coverage than the 2G network Android (inaudible). MStar on the other hand focuses on the lower cost medium segment and is gaining popularity in particular with the incorporation of multimedia features. It recently won a design over MediaTek at China (inaudible) such as Lenovo (inaudible). As you can see, CEVA is well positioned to capitalize on emerging trend in the cellular communication space, which is by-product of the depths and breadths of our diverse customer relationship. We are focused on extending this relationship, where applicable, to extend our market share in the industry that is undergoing significant growth. Before handing the call over to Yaniv, for financials, let me summarize the four key drivers for gross profit. First, evolution of the cellular network, specifically the growth of 3G networks in emerging countries and the migration from 3G to LTE in developed countries. CEVA is positioned to leverage these opportunities with a broad range of technologies and broad customer base. Second, emergence of 3G and 4G connectivity in devices beyond handsets, such as tablets, laptops, automotive, and surveillance. (Inaudible) baseband DSP are ideal for these promising [networks] (inaudible). Third, mass adoption of feature set enriched enhancement of smartphone. We offer a range of new DSPs and [platform] [ph] technologies to address the need for advanced imaging and high fidelity audio. It is an incremental business to our already strong foothold [endeavor] [ph]. Fourth, the proliferation of smart devices in home which was clearly evident at the recent CES show. Although the home electronic market has recently experienced slow growth, we believe this is about to change with the merger of smart TV or smart (inaudible). We aim to leverage our mobile [experience] [ph] technology base to expand into these markets. Finally, I want to take this opportunity to thank our employees and their families for their devotion, innovation and winning spirit they showed during 2011. On behalf of CEVA, Inc. we wish you all our shareholders, customers and suppliers, a successful and prosperous new year. I will now turn the call over to Yaniv for financials and guidance.
Yaniv Arieli: Thank you, Gideon. I’ll now review the results of the operations for the fourth quarter of 2011. Revenue for the fourth quarter was $16 million, well above the high end of our guidance, reflecting a significant 22% year-over-year increase and the revenue breakdown is as follows. Licensing revenues were $4.7 million, reflecting 30% of total revenue, 2% higher than the fourth quarter of 2010, during which we recorded $4.6 million. Royalty revenue was $10.2 million, reflecting 64% of total revenue and 60% higher than the fourth quarter of 2010, during which we recorded $7.5 million. Service revenue was $1.1 million, reflecting 6% of total revenue, 19% higher than the fourth quarter of 2010, during which we recorded $0.9 million. Quarterly gross margin was 94% and 95% on a U.S. GAAP and non-GAAP basis respectively, compared to 91% for both of the fourth quarter and last year. Non-GAAP quarterly gross margin excludes approximately $70,000 of equity-based compensation expenses. As for the quarterly operating expenses, R&D were $5.7 million for the quarter, including approximately $562,000 as equity-based compensation expense. Sales and marketing costs were $2.3 million, including approximately $347,000 of equity-based compensation expenses and our G&A costs were $2.1 million, including approximately $631,000 of equity-based compensation expenses. Our total operating expenses for the quarter were $10.1 million, which included an aggregated equity-based compensation expense of approximately $1.6 million. Total operating expenses for the quarter, excluding (inaudible) were $8.6 million, reflecting the higher end of our guidance and approximately 12% higher than the operating expense levels for the fourth quarter of 2010, mainly due to higher headcount in R&D and [S&M] [ph] divisions, as well as higher tape out expenses associated with our CEVA-XC chip. U. S. GAAP operating margins for the fourth quarter of 2011 increased to 31% of sales from 29% for the same quarter in 2010. Non-GAAP operating margins for the fourth quarter increased 24% to 41% in comparison to 33% from the fourth quarter of 2010. [Gross debt] [ph] operating income, increased for the fourth quarter of 2011 as compared to 2012 and it was (inaudible) from $3.8 million to a record $4.9 million. Our non-GAAP operating income excluding $1.6 million of equity-based compensation expenses increased [54%] [ph] from $4.2 million in the fourth quarter of last year to a record $6.5 million for the fourth quarter of 2011. Interest and net income for the fourth quarter were $873,000 higher than our estimate, relating to some positive FX effects and higher cash balance [rate] [ph] and yields. As for the tax front we recorded a quarterly tax expense of $0.9 million on a U.S. GAAP basis and a tax expense of approximately $1 million on a non-GAAP pre-tax income basis. This accounts for 16% and 14% of pre-tax income, respectively. Non-GAAP pre-tax income excluded the equity-based compensation expense that I just previously mentioned. On U.S. GAAP, net income for the fourth quarter increased by 16% to $4.9 million and fully diluted net income per share increased by 11% to $0.20. This compares to $4.2 million and $0.18 respectively for the fourth quarter of 2010. Non-GAAP net income increased significantly by 47% to an all-time record high of $6.4 million as compared to the same period for the prior year. Non-GAAP fully diluted net income per share increased 37% to a record high of 26% per share as compared to the same quarter in the previous year. These results exclude approximately $1.6 million and $0.5 million of equity-based compensation expenses net of tax rate for the fourth quarter of 2011 and 2010, respectively. Other related data, shipped units by CEVA licensees during the fourth quarter of 2011 were $298 million, up 34% and 19% from the fourth quarter of 2010 and the third quarter of 2011, respectively. This is the 12th consecutive quarter that our customers have increased CEVA-powered units shipped. Of the 296 million units shipped, 266 million units or approximately 90% are for baseband chips and reflect 18% higher volume as compared to the prior quarter in which we recorded 226 million units of baseband [that was shipped] [ph]. As of December 31, 2011, 28 licensees were shipping products incorporating our technologies, one less than the prior quarter due to M&A consolidation in the space. And, we had 37 shipping customers under licensing agreement, one more than the prior quarter, due to the same reason. In 2011 our customers shipped a record of one billion CEVA-powered chipsets, a substantial increase of 68% compared to 613 million units shipped in 2010. These shipments correlate to a significant increase in our overall annual [growth to] [ph] revenue which increased 59% from $23 million to $36 million, contributing nice to our improved profitability. As for some other balance sheet items, as of December 31, 2011 CEVA’s cash and cash equivalent balances, marketable securities and long-term bank deposits reached a record high of approximately $165 million compared to $156 million at the end of September. During the fourth quarter and annual 2011, we generated positive cash flow of approximately $9 million and $34 million, respectively. Our DSO’s for the fourth quarter were 31 days as compared to 28 days for the third quarter. Now, for the guidance. As Gideon discussed earlier, we see 2012 as an important growth year, driven by few aspects. One, substantially stronger penetration as Nokia’s 3G products as part of its Internet for the Next Billion strategy; further expansion into Samsung and other major Tier 1 smartphone and feature phone products. Capitalization on the growth of the Chinese 3G, TD-CDMA markets and last high volume shipments of 2.5 and 2.75G products into the emerging markets. Well, our business maintained a considerable momentum in 2011, we are taking a cautionary optimistic view for the first half of the year driving the ongoing uncertainties with the global economy, in particular China and Europe, inventory correction in the Chinese 2.5G handset channel and the pace of transition at Nokia and other new 3G products powered by CEVA. Our long-term expectations for top and bottom line expansion remains unchanged. I am guiding through the full year of 2012. Total 2012 revenue is expected to be between $62 million to $66.5 million. Gross margin is expected to be approximately 94%. Operating expenses, including equity-based compensation expense are expected to be higher than 2011 levels due mainly to additional R&D investment in next generation baseband processors for LTE Advanced, as well as our new MM3000 HD video and imaging platform. We forecast non-GAAP SG&A, including equity-based compensation expense, to be at a slightly lower figure than the 2011 number. Our overall U.S. GAAP operating margins on a forecast is to be in the range of $39.2 million to $41.2 million. Annual equity-based compensation is forecasted to be approximately $6.2 million or $1 million higher than 2011. Of this approximately, $0.3 million will be recognized in the cost of goods, the rest in OpEx. Annual operating expenses, excluding equity-based compensation expense, are expected to be in the range of $33.3 to $35.3 million. Interest income net is expected to be around $3.2 million. Our tax rate for the year is expected to be approximately 16% on GAAP basis and 14% on non-GAAP basis. Non-GAAP tax excludes the tax [except] [ph] equity-based compensation expenses. Share count for 2012 is expected to be in the range of 24 million to 24.8 million shares. U. S. GAAP EPS is expected to be in the range of $0.78 to $0.82 per share. And our non-GAAP EPS, excluding equity-based compensation net of $5.8 million is expected to be in the range of $1.02 to $1.06 per share. Now for the guidance for the first quarter of 2012. Revenue is expected to be in the range of $14.2 to $15.2 million. Gross margin is expected to be approximately 94%. Operating expenses, including equity-based compensation, is expected to be in the range of $9.6 to $10.6 million. Of the anticipated total operating expenses for the first quarter, $1.5 million is expected to attribute to the equity-based compensation expenses and excluding that non-GAAP OpEx is forecasted to be $8.1 to $9.1 million. Interest income is approximately $800,000. Tax rate, similar to the annual tax rate, is 16% on a GAAP basis and about 14% on a non-GAAP basis. Share count for the first quarter 24 to 24.7 million shares. U.S. GAAP EPS is expected to be in the range of $0.14 to $0.16 per share and non-GAAP EPS excluding the aggregated $1.4 million of equity-based compensation expense net of taxes is expected to be in the range of $0.20 to $0.22 per share. Operator, we would now like to open the floor for the Q&A session.
Operator: Okay. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Joseph Wolf of Barclays. Please go ahead.
Joseph Wolf - Barclays Capital: Hi, thank you. A couple of questions, the first, I guess, right to the guidance that was given. Just in terms of the, I guess, if you could break it down to the licensing and royalty, the licensing trends for 2011 were driven I think by some of the direction of the LTE 4G. Can you talk about where you expect 2012 licensing trends to come from and should we be back in that $4.5 to $4.7, $4.8 million range for the year for that? And there was a mention on I think in Gideon’s comments about when they will start to contribute, can we talk about some of the 2012 licensing contributions if that’s a backend kind of event? And then just in terms of how you are feeling about the first half, you said cautiously optimistic, are there any geographies or customers that you could point to that are showing some signs of slowdown versus more kind of an outlook question where you are concerned about things but haven’t actually seen any customer activity to reflect that yet?
Yaniv Arieli: Sure, good morning. Let me just start with some of the answer then give it to Gideon to continue the overall picture. There in the licensing guidance we haven’t changed on methodology from prior years or quarter. The licensing is always, for every IT company, is a trickier part to forecast and therefore we are quite comfortable. Like we have in the past – been in the past, with a $4 million to $5 million range, especially for the first half of the year because of some of the macro type of uncertainties that we are all seeing around. So we are starting off the year with that. And we do believe that things could pick up in the second half of the year, also in the licensing side those because some of the newer markets like the next generation of LTE Advanced design cycle, not production yet, the design cycle may start to kick in and that we have a very robust new product line there to offer for that. If the macro headwind clears a bit then we could be in the same normal level that you mentioned and [it’s like] [ph] we have presented in the earlier part of 2011. That’s on the licensing cycle. No special events other than just a little bit maybe of a shift in mix between the first half and the second half from a macro type of guidance, okay. On the royalty front, just to give you a little bit more color, as we stated in the prepared remarks, we are seeing two or three issues that are in front of us, but most interesting one is the positive [environmental] [ph] the Q4 revenue. It was surprising even for us the magnitude of growth [we incurred] [ph] for royalties. And the reason was – a few reasons, but the main reason was really a shift in seasonality in the overall handset market. If we recall, traditionally, for many years, the Q4 being the strongest [Christmas] [ph] wireless number was out there, and we of course, we posted our Q1 based on the very strong Q4 number, this year that changed a bit. So the seasonality has moved around for Q4 based on Q3 shipment, we had an outstanding number to report and the outstanding unit, record high and from there on we are just moving on with the model, as the market evolves. Gideon, maybe you want to add about some of the other (inaudible).
Gideon Wertheizer: Joseph, two things to elaborate. First thing, maybe, so in principle when it comes to licensing, we are - $45 million (inaudible). There are two developments that will take us beyond, let’s say if you take the mid-range 4.5 and I believe that this will be more in the second half of the year. One, in design cycle for the next generation LTE, this is called the LTE Advanced, at that point we believe we are going to see more CEVA-XC licenses, which would (inaudible) more - a higher license fee and of course higher (inaudible). That’s one development. The other development is when it comes to the platform that is called CEVA-MM3000, which I spoke briefly under - on my prepared remarks, this is every day -- we have now [lead] [ph] to customer on this. We gained a lot of confidence because we have the right products in hand, but because we are speaking about a new product line and the feature set that takes you to the next level of smartphone like the 10 megapixel camera, and these kind of things, it is a lengthy evaluation process, it’s ongoing now and I believe that we will see some traction with trends going in the (inaudible). Now, that’s kinds of [leaves the royalties] [ph]. As Yaniv mentioned, Q4 was an exception, not outstanding, exceptional, because – honestly speaking I was anticipating (inaudible) $8.8 million royalties, I was expecting to get $9.2 million, $9.3 million this quarter, and in Q1 $9.7, $9.8 million, which is very good in light of fact there is a Tier 1 smartphone manufacturer in the US that moved to another vendor, that is also. Otherwise the impact is not in the Q4, is not something, it’s less than I was anticipating, at least in this quarter. Now, because Q4 was [announced] [ph] exceptional, even if you look historical there is and then we have it on (inaudible) there is an inventory built up these customers are now trying [to build] [ph] and it will take them a quarter, maybe a bit more, but from what we understand from customers there is many reduction let’s say 2.5 G, 2.75 G, the market will keep these volumes (inaudible). And then to clean up the inventory and then going again to (inaudible) this market is more than 1 billion units. So as time goes by we’ll see this going back.
Joseph Wolf - Barclays Capital: Okay, great. Thank you. I’ll stop there.
Gideon Wertheizer: Thank you, Joseph.
Operator: And our next question comes from Anil Doradla of William Blair. Please go ahead.
Anil Doradla - William Blair & Company: Yes, thanks a lot guys. A couple of questions, you are talking about this cautious optimism, can you talk about trends that lead you to be a little cautious and optimistic? Already we are one month into Q1, what is it you have seen that leads you to be taking this outlook, especially after having such a solid Q4? And the second thing is, when I step back and look at your ASP trends for this year, if my calculation is correct, it’s about I think 18% decline year-over-year. So should the ASP trends on your royalty side, should that be more severe than the handset trends in line or better, do you have breakpoints and how should I be looking at that? And if I look at the dynamics at Nokia, sounds like most of the non-3G transition from TI has taken place. And would it be fair to say that you guys are well positioned on the 3G side at this business which is moving away from Nokia? Thanks a lot.
Gideon Wertheizer: Okay, Anil, this is Gideon, let me take – address all your questions. First of all, when it comes to cautiously optimistic one of the things that we are expecting to see a significant growth and I think I elaborated that in my total remarks is the two Tier 1 competitors today, this is Nokia and Samsung. As you know, when it comes to Nokia, 80% of their volume is what is called mobile phones and 20% is smartphone. The smartphone is not what we are addressing there are a lot of things that they need to (inaudible) for Windows phone. The mobile phone segment which is 90 million, 95 million units per quarter this is, (inaudible) 2G we are not cover what we are supposed to do. In 3G, as I said, 92% is (inaudible) it’s those companies like Broadcom, Intel Mobile Communication, are not the high volume (inaudible). They are saying and we believe that these will happen in 2012, maybe the beginning of 2013 out of TI. So, whilst we are today in the (inaudible) how to focus where exactly and the hockey stick, this hockey stick what’s the magnitude of this hockey stick will take place. So, yes, we are cautiously optimistic, we don’t know exactly it’s going to happen – if this would happen, but we need to see how and when and what’s the magnitude. I think you asked about licensing?
Anil Doradla - William Blair & Company: No, ASP trends.
Gideon Wertheizer: ASP, maybe Yaniv (inaudible)?
Yaniv Arieli : Yes, ASP, Anil, there is nothing new in the ASP structure. You know and many others (inaudible), there is a mix of different product segments, whether it’s low-range, mid-range, high-range, and then in the next year the LTE [massive] [ph] deployment has different rates for different markets. And the same goes for the final chip prices, baseband chip prices are very strong, mid $2 to all the way up to $15, or so, and we need to (inaudible). Gideon mentioned though, that evolves over time both based on units, volume discounts and different market segments. Overall, I don’t see or foresee (inaudible) change in that magnitude throughout the next year 2012 and what will divide one - change one quarter from another, just a mix of royalties. I am not sure if you mentioned, if you look at the Q4 royalty revenue, [depends on two] [ph], every segment of the products that we power, whether it’s 2G, Edge, 3G and even LTE, are all good. So there are positive growth drives for Q4 and we need to see the mix how it evolves throughout the year also in order to better answer how the end of the year can look like from ASP perspective, but Gideon mentioned and to simplify maybe, we are seeing in front of us today, the same, very similar story that we have seen three or four years ago, with replacement of the 2G where we believe we are selling between 50% to 60% worldwide market share today in that segment, from nothing few years ago. And the next tackle from my point of view is the 3G, which is a huge market opportunity doubling its size over the next two years or so, and we have a very, as we mentioned, we have a very complementary technology to offer and customer base and it is all the question of the timing, as Gideon said, when that will pickup. As soon as we know and we have the volumes and the royalty to back it up, I think the visibility will improve in there for the guidance.
Anil Doradla - William Blair & Company : Okay, thanks.
Yaniv Arieli : Thank you.
Operator: Our next question comes from Matt Robison of Wunderlich Securities. Please go ahead.
Matt Robison – Wunderlich Securities: Hi, good morning, and congrats on the great results for the quarter. Gideon, I wanted to talk a little bit about your System on Chip licensing and Multimedia 3000 and then the work you are doing with eyeSight, and the reason is, it seems like the features that you bring in between image and gesture recognition processing, it seems like those are a moving target. I am just wondering how you structure these deals so that you can bring licensing in sooner without the effective feature creep and how we should expect SOC licensing to progress in 2012.
Gideon Wertheizer: I don’t think it’s a - moving target is the right thing to do. The drawback, the agreement that we signed last year, it was [to release] [ph] customers, the drawback was not, when we licensed it, it was not ready. We have to complete to write software and to finish up the hardware. We are working on a new generation; eyeSight came in with the investment that we need to have the software. There are two things that is now in our designing. One is to add more software, because [card] [ph] customers demand software on top of the hardware. The hardware is ready now, but the software, we [need to have] [ph] the software. And the other thing is to convince customer to take this new product to the design cycle. When you make such a product and we don’t have similar products in the market, it’s not like, we don’t have the history of competition in the market, you have to convince customer to [approach] [ph] the evaluation process, the due diligence, (inaudible) longer. Now, I am not in a – we don’t have a good answer when exactly we would sign a deal, but when we start signing one or two deals, we’ve a [we didn’t achieve here] [ph] for us to license. But, that’s the reality when we have the new product, new category of products.
Matt Robison – Wunderlich Securities: So, the initial license you gained in the third quarter was for kind of a subset of a customer that was kind of had an early look at this stuff and wasn’t or didn’t need to wait for further features and the remaining market you have got some missionary work to do to really nail down the functions and start closing deals. Is that the right way to look at it?
Gideon Wertheizer: Yes, the customer that took these license, took to himself to develop the software, most of the software by himself, we had a good year work to do otherwise this customer is [tapping] [ph] out the quarter.
Matt Robison – Wunderlich Securities: Well, okay. All right. I will take a follow-up on this offline and yield the floor. Thanks.
Gideon Wertheizer: Thanks Matt.
Operator: Your next question comes from Vijay Rakesh of Sterne Agee. Please go ahead.
Vijay Rakesh – Sterne Agee: Hi guys. I was wondering, you mentioned that Nokia 3G should start to pick up, should be a [gain win] [ph] for you. When do you see it start picking up? Is it material in the first half or you see it become material more in the second half?
Gideon Wertheizer: That’s a 1 million, I don’t know if it’s 1 million, much more than $1 million question. Within the customers that are the semiconductor customers that are shipping, that’s about ship like Broadcom they have made, Yaniv mentioned specific when they (inaudible) but definitely in 2012.
Vijay Rakesh – Sterne Agee: Okay. And on the China side, I know you mentioned, Spreadtrum, all of those guys are getting share and you are doing well with ZTE. But at MediaTek, that’s about 65% there. How do you see opportunities there in the China market in those spaces?
Gideon Wertheizer: Yes, okay, so there are two things here. First of all, when it comes to the 3G market, [ where it is called preciously the] [ph] China Mobile [standard] [ph], here I mentioned specifically, and I’m basically quoting Spreadtrum that they have 50% market and they are expecting significant growth this year, because their market is growing. China Mobile are not investing anymore in 2.5G network. 90% of China Mobile subscribers is still 2.5G. So, going forward they will (inaudible). Now, as you mentioned, MediaTek is onto 2.5G market. Here there are two key suppliers in this space MediaTek that is not using our technology and two others, Spreadtrum and MStar that use our technology, MediaTek in this space, has 60% as of let’s say last year and it’s a [fact there] [ph] because Spreadtrum and MStar are the newcomers, with (inaudible) product, it is superior, but it’s a cut throat market in fact.
Vijay Rakesh – Sterne Agee: Got it, okay. And last question, Samsung, what are your thoughts there, what do you see there in 2012, your share? And are they still pushing with your - with chips based on CEVA?
Gideon Wertheizer:
Vijay Rakesh – Sterne Agee: Okay, great. Thanks a lot.
Gideon Wertheizer: Thank you.
Operator:
Gary Mobley – Benchmark: Hi, guys.
Gideon Wertheizer: Hi Gary.
Gary Mobley – Benchmark: So, seeing some of the results reported by some of your main licensees during the fourth quarter, it’s understandable why you are cautious with respect to the first half outlook for your own royalty revenue, but do you in fact have the royalty reports in hand that sort of solidify your Q1 revenue outlook?
Gideon Wertheizer: Yes, of course. Like it’s always worked. When we come and guide you and our customers have an obligation to report somewhere between 30 days to some 45 days towards the quarter-end, January 31st today. So, we have a pretty good visibility this time around how the results look like and we have received a lot of (inaudible) by now. And the answer is yes.
Gary Mobley – Benchmark: Okay, all right. That’s clear. And if I am not mistaken, you had about 42% baseband market share according to some third-party research firms during the third quarter of this year. Where do you think it was in the fourth quarter?
Gideon Wertheizer: We haven’t done and received all the same type of information. You mean, fourth quarter shipments in Q1 for us, right?
Gary Mobley – Benchmark: Well, whatever most recent data you have available.
Gideon Wertheizer: (Inaudible) two shipments which we reported in Q3, we have [21%] [ph]. Q3 shipments, which we reported today – in Q4, revenue we have 42%. 42% I believe is the highest we have had so far. And I don’t think seeing that changing or going down anytime soon, our goal is to get closer to 50% over the next two years.
Gary Mobley – Benchmark: Okay. That was –
Gideon Wertheizer: Otherwise, Gary, by the way, this is an important question, because our market is the (inaudible) Chinese non-branded and of course machine to machine or mobile broadband. This is for 2011, this is 2.2 billion units market. And so, it’s 1.5 plus the branded. So, if you look from a different analysis, people are speaking about 1.5 there’s basically count Apple and Samsung (inaudible) we are thinking about 2.2 market, this market in 2011 grew [16%] [ph], and it’s a decent market.
Gary Mobley – Benchmark: Okay. That’s it from me. Thanks guys.
Gideon Wertheizer: Thank you.
Operator: Our next question comes from Daniel Meron of RBC Capital Markets. Please go ahead.
Daniel Meron – RBC Capital Markets: Hi Gideon and Yaniv, congrats on the very solid fourth quarter, good work there. As far as, if I am looking past this macro-related weakness in the first half, can you talk a little bit more and maybe I missed it during the call, on the long-term outlook, how should we think about the grand picture for the company, maybe on a three-year basis, if you can just give us a little bit more perspective on long term? Thank you.
Yaniv Arieli: If you just focused in 2012 and not that far, because the story didn’t really changed or haven’t changed anything and the way we are seeing it today versus the quarter ago or a year ago on the contrary, it has improved. We didn’t break out nor do we ever break out the different line items, but the way we budget and forecast the royalty growth for CEVA is at least 50% higher than the overall growth for the industry in 2012. So, to give you a little bit of insight, even for 2012 and even for the fact that we are cautious we still believe that we will outperform the growth in our royalties versus the industry.
Daniel Meron – RBC Capital Markets: Okay, thanks.
Gideon Wertheizer: Daniel, this is Gideon. I don’t know if you have the chance to listen to my talk, but (inaudible), a number of times I mentioned few key growth drivers. One of them is upgrading the network. In the emerging market, people are moving from 2G to 3G and in [developed] [ph] countries, 3G to HD and we are set to leverage this trend in technologies and in customers. The other one is the growing of the mobile broadband. We are going to see mobile broadband in, of course, in laptop and tablets but we are going to see it in surveillance and smart grids and in automotives. We see a lot of interest in automotive to improve connectivity. The third one relates to what [Matt asked about earlier] [ph] to target [inducing] [ph] the enrichment of multimedia technologies in smartphone and smart design (inaudible) because we have the original technologies and the [energy] [ph], technology. And the fourth element is the home market, it was clearly seen in the [three years] [ph] people are not speaking anymore about 3D, 2D, they speak about smart TVs, and it’s not TV, it’s not just connection to the Internet, it’s technologies like gesture, it’s like imaging and these kind of things that basically take the experience that we have in mobile and take it to the home.
Daniel Meron – RBC Capital Markets: Okay, thanks Gideon. And maybe, if you were to quantify all of these opportunities bundled together, I think that you exceeded 1 billion. How should we think about it, maybe on multi-year basis, how much of the total adjustable market can you actually gain in the next several years?
Gideon Wertheizer: 1 billion is conservative because we should be seeing more than 1 billion.
Daniel Meron – RBC Capital Markets: No, that’s what you did in 2011, right. But how many more – what’s the opportunity that you can gain in the next several years?
Gideon Wertheizer: The opportunity is big. So, more than 2 billion units in total that we have now.
Daniel Meron – RBC Capital Markets: Okay, got you. And maybe I missed it, what’s the market share from the handset side that you guys have in the fourth quarter, and how do you see that evolving throughout 2012? And then I have got another follow-up question.
Yaniv Arieli: We just said that, 42%,over the next two years, we hope to be somewhere between the 42% to 50% and closer to the 50%.
Gideon Wertheizer: I hope not 40%, but --
Yaniv Arieli: Yes, closer to the 50% [ the next two years] [ph].
Daniel Meron – RBC Capital Markets: Okay, and last question, you guys have (inaudible) you’ve done a formidable job with the cash [consideration / consternation $65] [ph] million. I was wondering if you guys are going to allocate some of that to buybacks or any other ways to return some of that cash to shareholders.
Gideon Wertheizer: The board is actively reviewing the types of plans and we don’t have any updates today.
Daniel Meron – RBC Capital Markets: Okay, thank you good luck.
Gideon Wertheizer: Thank you.
Operator: Our next question comes from Jay Srivatsa of Chardan Capital Markets, please go ahead.
Jay Srivatsa - Chardan Capital Markets: Yeah, thanks for taking my question, congratulations on a good quarter. I am trying to reconcile the comments made by TI versus your own guidance for the first half, it appears they have guided for almost a 200 million drop in revenues, which Gideon based on what you said, you know it is logical to think that, Intel and possibly Broadcom gets a lot of that share, but yet your guidance doesn’t seem to reflect that at least in the first half. Can you help me understand that a little better?
Gideon Wertheizer: We have this comment as well and let’s leave to Broadcom and [Intel] [ph] to comment, we don’t necessarily know where we are - we don’t necessarily know directly how these would be translated. The Q1, in generally the weak quarter from seasonality standpoint for baseband, so some of it is because of seasonality, i don’t think it might be switching or starting to switch suppliers, I don’t know.
Jay Srivatsa - Chardan Capital Markets: Alright.
Gideon Wertheizer: We (inaudible).
Jay Srivatsa - Chardan Capital Markets: Alright, going back to your comment on Q1. Typically you tend to have a pretty strong Q1 from Q4 licensing and royalties, but given that you have guided for sequentially down Q1, what is your expectations as you look ahead to Q2; do you expect seasonal softness to impact that as well?
Gideon Wertheizer: Yes, we mentioned that Q1 will be different because of the overall change in seasonality, this time around and Q2 represents Q1 shipment, so Q1 shipment, all those semiconductor and wireless guys guided a down quarter which is very typical and normal that will affect our Q2 [revenues] [ph] of course. Whatever [could else] [ph] (inaudible) so what we have just discussed and some other ramp ups from other players, we’ll see as the time evolves and of course to make sure you are all up to speed. By the way forecast for Q4 [what we saw] [ph] the forecast trailing for Q4 a 9% decrease in the overall market, bear in mind that our market is a 2.2 that I commented before, 2.2 billion units which include the China market. Eventually all the smartphone as well, but the market in Q4 shipment overall is down 9%, when [you saw] [ph] Q3 announcement already for many – for few companies they are in this space. That’s Q4 reporting to Q1; we believe that Q1 shipments will be lower and you have Apple speaking about seasonality and few others. Q1 is traditionally a low season in (inaudible).
Jay Srivatsa - Chardan Capital Markets: Alright, there wasn’t much discussion on LTE. Can you talk about when you expect that to really start becoming meaningful for you? Do you expect that to be more in 2013, are you starting to see some good pickup in the second half of this year?
Gideon Wertheizer: LTE was good at the beginning of the year and LTE we had a licensing at the beginning of the year, people – a bit slowdown in LTE, the reason that have slowed down, you see many companies now are focusing on 3G local smartphone, heads down on 3G smartphone and slowing down of LTE I think that the second half of next year, or even second half of this year people go back to the [drawing papers] [ph] do LTE development, this now become LTE Advanced and we see more licensing activities in this respect. Royalty is by the way in more 2013 and in that production we do hope [already] [ph] some royalties were a limited amount this year that CEVA (inaudible).
Jay Srivatsa - Chardan Capital Markets: Thank you very much.
Gideon Wertheizer: Thank you.
Operator: Our next question comes from Daniel Gelbtuch of Cantor, please go ahead.
Gideon Wertheizer: Let this be the last question, last question of the day (inaudible) time has run out. Thank you.
Daniel Gelbtuch - Cantor Fitzgerald: Quickly, just want to some update on the microcell or picocell market and where do you thing that is going yielding revenue?
Gideon Wertheizer: Well, this is a market that we have already few customers doing that, I think the market is going through a dilemma of how it looks like whether it is going to be lot of macrocell or in the macrocell we have now (inaudible) cloud, there are people thinking about femtocell on the [residence] [ph] is obsolete, it’s still turbulence that I would (inaudible) I call it in terms of how the architecture of the network will look like when it comes to a [peak] [ph]. And when this clean up we will start seeing companies getting into this space because it is a lucrative space.
Daniel Gelbtuch - Cantor Fitzgerald: Alright, thank you.
Gideon Wertheizer: Thank you.
Operator: This concludes the question and answer session. I will now like to turn the conference back to Mr. Kingston for any closing remarks.
Richard Kingston: Thanks Aline, thank you again for joining us today and your continued interest and support of CEVA. We will be attending the following upcoming conferences and events and invite you to join us there. The first of these will be the Deutsche Bank Small & Mid Cap Conference on February the 14th in Miami, Florida; Oppenheimer 16th Annual Israeli Equities 1-on-1 Conference on February the 15th in New York; and Mobile World Congress the world’s largest mobile exhibition from 27th of February through to March 1st in Barcelona, Spain. Thank you and good bye.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.